Operator: Good morning, and welcome to the Third Quarter 2025 Results Presentation for Hillman Solutions Corp. My name is Tanya, and I'll be your conference call operator today. Before we begin, I would like to remind our listeners that today's presentation is being recorded and simultaneously webcast. The company's earnings release, presentation and 10-Q were issued this morning. These documents and a replay of today's presentation can be accessed on Hillman's Investor Relations website at ir.hillmangroup.com. I would now like to turn the call over to Michael Koehler with Hillman.
Michael Koehler: Thank you, Tanya. Good morning, everyone, and thank you for joining us for Hillman's Third Quarter 2025 Results Presentation. I'm Michael Koehler, Vice President of Investor Relations and Treasury. Joining me on today's call are Hillman's President and Chief Executive Officer, Jon Michael Adinolfi, or JMA as we call him; and our Chief Financial Officer, Rocky Kraft. I would like to remind our audience that certain statements made today may be considered forward-looking and are subject to the safe harbor provisions of applicable securities laws. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors, many of which are beyond the company's control and may cause actual results to differ materially from those projected in such statements. Some of the factors that could influence our results are contained in our periodic and annual reports filed with the SEC. For more information regarding these risks and uncertainties, please see Slide 2 in our earnings call slide presentation, which is available on our website. In addition, on today's call, we will refer to certain non-GAAP financial measures. Information regarding our use of and reconciliations of these measures to our GAAP results are available in our earnings call slide presentation. JMA will begin today's call by providing some commentary on our record third quarter results, briefly hit on our guidance and discuss our performance by business segment. Rocky will then give a more detailed walk through our financial results and guidance before turning the call back over to JMA for some closing comments. Then we will open up the call for your questions. It's now my pleasure to turn the call over to our President and CEO, Jon Michael Adinolfi. JMA?
Jon Adinolfi: Thanks, Michael. Good morning, everyone, and thank you for joining us. The third quarter of 2025 was a record quarter for Hillman. We recognized the highest net sales and adjusted EBITDA of any quarter in our company's 61-year history. Net sales for the quarter increased 8%. Adjusted EBITDA increased 36% and our leverage improved to 2.5x versus 2.7x a quarter ago. These outstanding results were driven by our team's commitment to taking great care of our customers, successfully navigating the current tariff environment and operating efficiently across our global supply chain. I'm especially proud of this team because we accomplished these great results despite market volume headwinds and tariff volatility. Our results for the year-to-date period have been strong. We are positioned well to build off this strength and expect to see continued growth for the remainder of 2025 and for 2026. For the first time in a long time, we are encouraged with some of the leading macro indicators. For example, 30-year mortgages are down 50 basis points lower since last quarter. We are hopeful that lower rates, coupled with the elevated level of existing homes currently for sale will help drive existing home sales in the near future. Based on our performance so far this year and our expectations for the rest of the year, we are reiterating our full year 2025 net sales guidance and increasing the midpoint of our full year 2025 adjusted EBITDA guidance. We maintain our expectation that our full year 2025 net sales will be between $1.535 billion to $1.575 billion, with a midpoint of $1.555 billion. The low end of our net sales guidance represents 4% growth over 2024 and the high end of our guidance represents 7% growth over 2024. As for our bottom line, we are increasing the low end of our guidance and now expect full year 2025 adjusted EBITDA to be between $270 million to $275 million with a midpoint of $272.5 million. The low end of our 2025 adjusted EBITDA guidance represents 12.7% growth over 2024 and the high end of our guidance represents 14% growth over last year. These numbers are very consistent with our long-term algorithm and as we have said many times, we get there many different ways, but this business delivers in just about any environment. Since our founding in 1964, Hillman has built a long and consistent track record. Over the decades, we have proven our ability to perform through every kind of economic cycle from periods of expansion to times of uncertainty. The durability of our business model comes from the essential nature of our products. Our 112,000 SKUs are generally tied to everyday repair, maintenance and home improvement projects. These projects need to be done during good times and difficult times. As a result, we have delivered steady, resilient performance for more than 60 years. Many would argue that the last 3 years have been a difficult market in our space with existing home sales hovering around $4 million annually. This is about 20% below the 10-year average of over 5 million single-family existing homes sold in the U.S. How has Hillman performed during this time? Compared to where we were just 3 years ago, we have increased our trailing 12-month adjusted EBITDA at a 10% CAGR, totaling over $70 million, paid down over $240 million of debt while reducing our leverage over 2 full turns and successfully executed and integrated 2 acquisitions. These outstanding results demonstrate the resilience of Hillman's model and the ability of this team to execute well in any environment. You've heard us say that we are a good business when things are good and a surprisingly good business when things have been challenging. The last 3 years have proved this. Hillman is a great company with a long track record of success. We have an experienced team that has been battle tested, great relations with our customers who are the best in the business at what they do and a world-class distribution network. We believe when the market turns, we will be positioned for outsized growth at both the top and bottom line. Our growth and performance have been powered by our competitive moat and the long-term customer relationships that are unmatched in our space. The Hillman moat includes our secret sauce of 1,200 dedicated sales and service reps working directly in our customer stores, our best-in-class direct-to-store delivery capabilities, category management expertise and retail partnerships that are embedded and strategic. These make Hillman an indispensable partner to our customers. To date, we have successfully managed the current tariff environment, which continues to evolve. Thanks to our team's hard work, we have fully covered the increased costs associated with higher tariffs. We continue to execute our dual faucet strategy where we buy products from multiple suppliers in multiple countries. At the end of the quarter, we held our annual supplier conference in Vietnam. Our sourcing team and I met with many of our top suppliers. This annual event serves as an important in-person touch point to strengthen relationships with our supplier partners, which is especially important given the environment. Meeting face-to-face offers our long-term and new supplier partners a fresh view of Hillman's near-term objectives and how we can work together to achieve our long-term goals. As we have seen throughout this year, changes in tariff policy can shift the market rapidly. The flexible supply chain we have built allows us to react to these changes so that we can always deliver high-quality products to our customers at the best value. Managing tariffs has been a big effort for our team, but we have not lost focus on taking great care of our customers, winning new business and consistently striving to make our operations more efficient. We continue to deliver orders on time and in full to our customers, which have been demonstrated by excellent fill rates, which have been above 95% this year. Now let's turn to results for our quarter. Net sales in the third quarter of 2025 totaled $424.9 million, which increased 8% versus the third quarter of last year. Driving our robust top line was a 10-point increase from price, 2 points from Intex, which we acquired during August of 2024 and 2 points from new business wins. These were partially offset by a 6-point headwind from market volumes, which was consistent with our expectations. For the quarter, adjusted EBITDA increased 36% to $88 million compared to $64.8 million last year. Adjusted EBITDA margins improved by 420 basis points to 20.7%. Adjusted gross margin for the quarter totaled 51.7%. This marks a 350 basis point improvement from 48.2% during the third -- the year ago quarter and a 340 basis point improvement from 48.3% last quarter. Driving our year-over-year sequential margin performance were both improved contributions from RDS and benefit from price cost timing. Our biggest segment, Hardware and Protective Solutions or HPS, had a great quarter with 10% growth versus the comparable period. Adjusted EBITDA increased by 57.3% to $65.8 million. Our results were driven by contributions from Intex, new business wins and price cost, partially offset by a 5.5% decline in HPS market volume. Net sales in Robotics and Digital Solutions, or RDS, were up 3.3% versus the year ago quarter. This is our third consecutive growth quarter for RDS and again illustrated the successful rollout of our Mini Key 3.5 strategy. Adjusted gross margins and adjusted EBITDA margins were both near their historic norms, totaling 74.2% and 31.4%, respectively. As of today, we have over 3,000 Mini Key 3.5 machines in the field, an increase of over 800 during the last 3 months. We remain on track to finalize the rollout of these kiosks to our 2 largest customers by the end of 2026. Turning to Canada. Net sales in our Canadian business were nearly flat, down just 0.2% compared to the prior year quarter. New business wins were partially offset by another quarter of soft market volumes and FX remained a headwind. We continue to expect that adjusted EBITDA margins will remain above 10% in Canada. Overall, this was a great quarter. Hillman's disciplined operations, strong execution and healthy customer relationships position us to continue delivering consistent results in this or just about any environment. With that, let me turn it over to Rocky to talk financials and guidance. Rocky?
Robert Kraft: Thanks, JMA. Let's get right to our results, then we'll review our guidance. Net sales in the third quarter of 2025 totaled $424.9 million, an increase of 8% versus the prior year quarter. Our top line results were a record for Hillman, marking the highest net sales of any quarter in our 61-year history. Third quarter adjusted gross margin increased by 350 basis points to 51.7% versus the prior year quarter and improved 340 basis points sequentially. Adjusted SG&A as a percentage of sales decreased to 31% during the quarter from 32% in the year ago quarter. Adjusted EBITDA in the third quarter totaled $88 million, improving 36% versus the year ago quarter. This also marked the highest adjusted EBITDA of any quarter in our 61-year history. Recall that last year, we revised our presentation of adjusted EBITDA to include a $7.8 million write-off of receivables from True Value during Q3. Even excluding the revision, adjusted EBITDA still increased over 21%. Adjusted EBITDA to net sales margin during the quarter improved by 420 basis points to 20.7%. We saw price increases read through our income statement throughout the quarter, while tariffs began to burden our cost of goods sold toward the end of the quarter. This price cost dynamic -- timing dynamic drove record results for Hillman and should begin to normalize next quarter. Now let me spend a minute on cash flows. For the quarter, net cash provided by operating activities was $26.2 million and we generated $9.1 million of free cash flow. Impacting our free cash flow for the quarter was about $30 million of tariff-related costs. At the end of the third quarter, we had about $60 million of new tariffs in our inventory. Turning to leverage and liquidity. We ended the third quarter of 2025 with $672 million of total net debt outstanding, which was [Technical Difficulty] by $3 million from the end of the second quarter. Liquidity available totaled $277 million, consisting of $239 million of availability on our credit facility and $38 million of cash and cash equivalents. At the quarter end, our net debt to trailing 12-month adjusted EBITDA ratio improved to 2.5x versus 2.7x a quarter ago and 2.8x at the end of 2024. We have now reached our long-term adjusted EBITDA to net leverage ratio target, which is at or below 2.5x. We will continue to pay down debt while we evaluate M&A opportunities and use our improved financial strength to play offense. As we announced last quarter, our Board approved a $100 million share repurchase program. This marks the first time Hillman has an active SRP in place since coming public in 2021. During the third quarter of 2025, we deployed $3.2 million to buy back 326,000 shares at an average price of $9.72 per share. We continue to be in the market buying stock. Our SRP activity during Q3 and since falls in line with our anticipated $20 million to $25 million annual spend buying back stock. Our objective here is to offset any dilution caused by employee equity grants and opportunistically buy stock should we feel there is a meaningful discount between the value of Hillman and where our stock is trading. We believe these repurchases will be accretive to earnings per share, drive shareholder value and are an attractive place to deploy capital. Now to our guidance. We are reiterating our top line guidance of $1.535 billion to $1.575 billion, with a midpoint of $1.555 billion, reflecting 5.6% growth over last year. For the full year, the growth at the midpoint of our guide is driven by about 6 points of price, 3 points from Intex and 2 points from new business wins, which are partially offset by a 6-point headwind from market volumes. For the second half of the year, we anticipate about 11 points of price, 1 point from Intex and 2 points from new business wins, which are partially offset by a 7-point headwind from market volumes. For the bottom line, we are increasing the low end of our adjusted EBITDA guidance by $5 million. This raises the midpoint as the top end remains unchanged. Our increased adjusted EBITDA guidance is now between $270 million and $275 million, with the midpoint of $272.5 million, reflecting 12.7% growth over last year and a $2.5 million increase from our previous guide. Our expectation remains that we will end the year around 2.4x leverage. As we discussed, the price cost timing dynamic drove record results for Hillman during the third quarter. Now during the fourth quarter, we will see price increases fully reflected while tariffs burden our cost of goods sold. The result of this will be a step down in adjusted gross margin rate, which will look similar to our gross margins during the second quarter of this year. Before I turn it back to JMA, I want to thank the whole team for delivering such a strong quarter with solid growth on both the top and bottom line. We are confident we can keep this momentum going through 2026 by staying disciplined and focused on our key priorities. That said, with flat market volumes, we expect full year 2026 net sales to grow in the high single to low double digits. The increase will be driven by rollover price and new business wins. However, the price cost timing dynamic we are benefiting from now presents a difficult margin comp next year. Further, we expect adjusted EBITDA to grow next year in the low to mid-single digit range, assuming no change to the current tariff environment. We will give our detailed full year 2026 guidance during our Q4 earnings call next February. The numbers I just provided are directional as we are not predicting what market volumes will be next year at this time. Hillman is in a great position to build on this success, continue growing with our customers and drive long-term value for our shareholders through the rest of this year and beyond. JMA, back to you.
Jon Adinolfi: Thanks, Rocky. We are pleased with our results so far this year and are very excited about the future. We continue to work on ways to grow our business within our 4 walls of our existing customers and beyond. Before we wrap up, I want to once again thank the entire Hillman team for an outstanding quarter. Your hard work and commitment continue to drive great results, strong growth, solid execution and momentum. As we look ahead, we're confident in our ability to keep the momentum going. We're focused, disciplined and aligned around the correct priorities, growing with our customers, strengthening our partnerships and creating long-lasting value for our shareholders. Hillman is in a great position and the opportunities in front of us are exciting. I'm incredibly proud of what this team has accomplished so far this year and even more excited about what's ahead. With that, I'll turn it back to the operator for the Q&A portion of the call. Tanya, please open the call for questions.
Operator: [Operator Instructions] And our first question will come from Lee Jagoda of CJS Securities.
Peter Lucas: It's Pete Lucas for Lee. I guess starting out, have you seen any competitive opportunities or pressures as a result of other suppliers to your customers and their actions around willingness or ability to import product that could be changing the competitive landscape out there?
Jon Adinolfi: I mean, from what we're seeing right now, we actually have quite a few different business opportunities that we're quoting on. We're excited about our new business opportunities that will cascade into 2026. So yes, we do see opportunities in the market where we've seen some competitors that have seen some challenges operating in this environment. So yes, we're excited about 2026 and what's ahead of us.
Peter Lucas: That's great. And in terms of -- what have you seen in terms of order patterns from your largest retail customers in the last month or 2 compared to sell-through?
Jon Adinolfi: They've been very consistent. We've got great relationship with our retail partners. They're running solid businesses right now. And I think all of us are excited about the next run that will be in front of us. So we haven't seen anything out of the ordinary.
Peter Lucas: Great. And then just last one for me. On the -- I know you touched on it and we'll hear more about '26 later, but on the last call, you did give us a preview in terms of what kind of growth you might expect to see in '26. Given today's results and the guidance, what, if anything, has changed for your '26 view?
Robert Kraft: This is Rocky. Pete, absolutely nothing. I mean, we reiterated the same view that we had before. If you assume -- and again, we're not yet predicting what we think the markets will do in 2026. But if you assume those markets are flat, we believe the top line will be up high single to low double digits and that's primarily driven by rollover price and new business wins and that gives us a lot of confidence in that number. And then when you think about how that reflects down the P&L into EBITDA, that read should be kind of low single to mid-single digits on the EBITDA line. And the reason that we don't leverage in '26 like we normally do in the business is because of the kind of windfall we have for a short period of time in 2025 around tariffs.
Operator: And our next question will be coming from Andrew Carter of Stifel.
W. Andrew Carter: I want to focus on the Hardware Solutions segment. Price was up 12.5%, volume down 33. Is that kind of a real-time elasticity number? Or were there any helpers to the volume? I think the new business wins were isolated to Protective Solutions. It's -- I think hardware is about as real time as you get with your retailers in terms of sales. But are there any pockets where retailers can take a little extra inventory or whatever? So I'll stop there.
Robert Kraft: Yes, I would say, Andrew, the short answer is yes. I mean -- but it depends. I mean, listen, we sell to a lot of different customers, we sell a lot of different products. And so every product and every customer behaves a little differently. If you think about the retail channel that we sell into, clearly, in a period of rising prices, a local hardware store is probably going to buy less inventory in the first turn of that until they see their price read through. When you think about folks, the big guys, we don't send a lot of product through their distribution centers, we go store direct. And so because of that, the ability to take inventory out of the channel is muted, but that doesn't mean there is not an ability to say that our big customers couldn't at times take some inventory out of the channel in a period of increasing prices would be naive. They can. That said, again, compared to someone who's living through a customer's distribution channel or through their DCs, obviously, there's a lot less impact on a business like ours because we're going store direct. So that was a long-winded way for me to say, yes, as prices are rising, there's clearly an impact with our customers around price. As we look at POS, JMA, I mean, October felt okay and the third quarter felt okay. I would say better than it's felt for a while and there's some green shoots, but we're still cautiously optimistic. When -- the one thing we would continue to believe, Andrew, is that we have positioned this business really well for when the market turns and we see housing return. I think when housing returns because of how well we're operating the business, we're positioned to take advantage of that.
Jon Adinolfi: Rocky framed it up well. I mean, you think about the repair and maintenance side of our business, very consistent. We see some good trends. And so we see some good things setting up for 2026 and beyond. We're not changing our outlook. But Andrew, we were pleased with how the business performed in Q3.
W. Andrew Carter: A second question I would ask about kind of the tariff number. If you said in the script, I apologize, the $150 million. Is that still a good number even with some favorable changes? And from here, if we get favorability here and there, how is that going to work in kind of the pricing with retailers as well as kind of the potential implications to your P&L? Are there -- will you see favorability immediately? Will you have to wait, et cetera?
Robert Kraft: Yes, I think we've not come off that -- it's approximately $150 million of total tariff in the business, Andrew. It's interesting because even last week, we saw a 10% reduction in reciprocal as an example, out of China. That said, there were a lot of things that moved in the quarter. And so we're still around that same number. To your second question around timing, to the extent there is a benefit or there are costs, it does take time to run through our inventory. And so we are delayed in whether we see the benefit or the, call it, the bad guy from the timing of tariffs.
Jon Adinolfi: Rocky, that's exactly right. So for us, we're running the business, we're always going to put the right products in front of our customers from the country of origin where it makes the most sense. We're going to have the highest quality and make sure that our supply chain stays robust. So Andrew, no macro change with what you just mentioned. And candidly, there were a number of other changes, plus and minuses in tariffs over the past quarter. We don't spike those out separately.
Operator: And our next question will be coming from Reuben Garner of Benchmark.
Reuben Garner: So Rocky, those second half volume numbers, I think you said market down 7%. Are you -- do you think that the elevated price from the tariffs is driving that? Is it just broadly consumer activity? Like I don't know if you can tell, but I know you didn't raise price necessarily on every product the same, but can you tell how much the price is having an impact on the actual demand in your space?
Robert Kraft: Yes. It is virtually impossible to figure out what's driving consumer impact, whether it's price increase or whether it's whatever other thing that's happening in the external environment. We do look at POS, we look at customer trends, but figuring out what is directly related is very difficult. The 7% is the implied number at the midpoint of our guide. I think everyone will remember the implied number in our guide in the third quarter was down about 9% in volumes. We did a little better than that. And our commentary around that was what we told people. It is really hard to predict what's going to happen to market volumes. We were confident that the amount of price that was going into the market that they wouldn't be down 2, it will be bigger than that. And we're relatively confident it would be less than 9% and we ended the third quarter kind of right in the middle of those numbers. I think as we go into the fourth quarter, we're cautiously optimistic that market volumes may be a little better than the guide, but we were down 6% in the third quarter and you think about going into the fourth quarter, could be other macro factors like even think about Christmas spending and things like that, it's probably a good number and will be in the ballpark.
Reuben Garner: Got it. And then the sequential improvement in gross margin, you mentioned RDS. Can you talk to us about how much of that improvement was from RDS versus the price cost? And then I guess, what exactly is driving the pickup in the RDS profitability?
Robert Kraft: Yes, I mean, the largest percentage of the increase was driven by what happened with price cost. When you think about RDS, that number was up, it was up about, call it, 100 basis points in the quarter. The RDS pickup is really driven by the 3.5 rollout and what's happening there and the profitability of that business. So we feel really good about RDS, the fact that we've grown it 3 quarters in a row and we continue to execute on our 3.5 strategy. But again, the biggest driver of margin improvement in the quarter was the price cost dynamic. And as we said in the prepared remarks, we expect that to come back in the fourth quarter and we would expect the fourth quarter gross margins to look a lot like what we saw in the second quarter of this year.
Operator: And our next question will be coming from Matthew Bouley of Barclays.
Elaine Ku: You have Elaine Ku on for Matt. I wanted to touch on pricing a little bit. So you've kind of pointed to expectations of price cost neutrality in the face of tariffs. But sort of this quarter, we've seen a sense of price fatigue where some of your peers have kind of not seen that full anticipated price realization. So just wondering, like are you experiencing any similar signs of a bit more elasticity or pushback on price than expected? Or is that price kind of coming through largely according to your expectations? And just what has feedback been on just receptiveness of increases or negotiations, just anything around that?
Robert Kraft: Yes. It's Rocky. I'll answer the beginning of the conversation, then I'll let JMA comment on relationship with customers. I think -- it's interesting because I would tell you, it kind of went as expected with lots of twists and turns because as you can imagine, the tariff regime has changed so many times. That said, we had always told everyone that we expected price even before tariffs to be flat during the current year, but a bit of a headwind in the front half. That implied that we would take some price for inflation and we did take some price for inflation in certain channels on certain products where it was necessary. So I think as you think about that, price, in my opinion and in the company's opinion, has played out about as expected. It hasn't been easy, but our customers have -- understand. They live in the same world we live in and so have been fair, I would say, relative to how price has rolled out. And JMA, do you want...
Jon Adinolfi: Yes, Rocky. I mean, that's exactly right. I mean the customer conversations have been challenging, but they've been balanced, right? They want the same thing that we want. We want to make sure they continue to flow the supply chain right. They will need high levels of service. They want to make sure their customers are taken care of. And that's why we're doing things with our customers now. We're resetting more in this year and 2025 than we really have in record, if you will. So we're going to continue to make investments in our business. We're going to continue to keep the product flowing because we really are still excited. I won't call when it's going to happen, but when it does, we believe the home improvement market is set up for a great run. So we're excited about where we are. The conversations around price are certainly challenging, but our customers and we are aligned that we want to take care of the end user.
Elaine Ku: Great. And second to that, I guess, you had mentioned October felt okay and you're seeing some green shoots. So could you kind of elaborate more on what those green shoots are? And similar to Pete's question earlier, are you seeing any incremental new business wins just given today's market backdrop or opportunity there?
Jon Adinolfi: Yes. So I mean, on the market, October was slightly better than what we saw in Q3. I'm not going to go into any specifics on each retailer, if you will. But Elaine, we've seen some certain categories that are what we deem to be non-elastic, if you will, actually doing decently. So just given the complexity of this call, you can understand I won't go any deeper there. We really think the setup as we move forward and kind of where Pete was going, we really feel like the new business wins that we have, we talked about [ ACE ], we talked about our chain win that we had there that's rolled out nicely in 2025 is just an example of things that we're doing. Our teams have a number of big projects in motion right now. We're going to report them out as we realize them versus getting ahead and talking about what we want to win. But we have some exciting opportunities in the hopper and we'll have more to come in future quarters.
Operator: [Operator instructions] Our next question will come from David Manthey of Baird.
David Manthey: First off, thanks for the 2026 outlook. I guess, did you say that that revenue outlook of high single, low double on the top line is in a flattish market? Is that correct?
Robert Kraft: Yes. That is, Dave. What we keep trying to say and we're going to keep trying to say it is that assumes a flat market. At this point, sitting on November 4 to predict next year's market is tough. And so we'll let people make their own estimates. But in a flat market, that's the expectation we have.
David Manthey: Got it. And then, yes, it looks like EBITDA, it probably builds more cleanly from '24 than '25, but seems to be right based on what you told us. So thank you for giving us that framework at least. In the quarter itself, could you just talk about -- I mean, there's a lot of variability relative to us, relative to the Street in the third quarter, the fourth quarter, but netting it all out, it looks like it pretty well hit the mark. The high gross margin was expected in the third quarter. Could you talk about why SG&A was also so elevated in the third quarter?
Robert Kraft: Yes, Dave, the biggest impact, quite frankly, on the SG&A in the third quarter is the way our bonus accrual works. And so there was a pretty significant bonus accrual relative to the rest of the quarter. And so I think if you took that out, you would see that number be pretty consistent with what we've seen in the other quarters of the year.
David Manthey: And so was that some sort of catch-up that you had to smooth it out relative to the first 3 quarters and then it will be normal in the fourth? Is that right?
Robert Kraft: That's correct.
David Manthey: Yes. Okay. And then when you think about the third quarter and the fourth quarter, again, given the wild variability relative to our own estimates to the Street, what for you came in differently than how you were thinking about things, if at all? When you look at the third quarter and then sort of what you're guiding for the fourth, is there anything in there that you say, well, this is a little bit more, a little bit less than we were originally anticipating midyear?
Robert Kraft: Yes. I would say, Dave, as we look back on what we said last quarter, I think it was pretty consistent with our expectations in both the third and what we're seeing in the fourth quarter. So I don't think there was anything really that surprised us. We expected the profitability. We expected the margin rate to increase about 300 basis points. It might have been a little bit better than that, but pretty much in line with our own expectations. I think the team did a really good job of performing again in really tough -- a really tough environment when you think about what's happening macro with tariffs and those conversations with our customers. I think the other thing that I think we're really proud of is we had 2% new business wins in the quarter in spite of all of the noise around tariffs. Again, great job when you think about what our sales team is doing and it really speaks volumes about how much our customers value and trust us when we're able to go out and win new business when we're asking for price at the same time.
Jon Adinolfi: Yes. And I think in addition to the sales team doing a great job, our operations team is world-class. We're very proud of what they've done. They've really run the business well. Q3 was an excellent quarter, very efficient. We had a lot of moving pieces and the team was able to execute. So yes, there's a little bit higher cost, as Rocky mentioned. We did do things like labeling on the field. There was a lot of activity in Q3. So we feel like Q3 is set up and we also feel like, Dave, Q4 is on target with what we expected.
Operator: And our last question will be coming from Brian McNamara of Canaccord Genuity.
Brian McNamara: So Rocky, I just want to clarify the cadence. In May, I think your projection for market volumes and pricing was plus 17, minus 17. Then in August, it was plus 12, minus 9 for H2. And then now it's plus 11, minus 7. Is that correct?
Robert Kraft: I think that's -- I think those were quick the way you said that, Brian. But yes, I think it's correct. The only thing I would say when you say those numbers, again, back to the minus 17, that was when there was a $250 million tariff regime. And in that environment, we weren't changing any of our guidance.
Brian McNamara: Understood. Understood. I'm curious on the timing of when these price increases hit the shelves, understanding, obviously, it probably varies by retailers. As our work suggests it's kind of late August, early September?
Robert Kraft: Yes. I mean, you're spot on. I mean, if you think about traditional hardware, labels are put on throughout the back half of the year. So yes, you didn't see all that price really reading in till Q3, into Q4. And then each of the other retailers, they maintain their own pricing and they drive the retail strategies that they see fit. So you've seen it cascade in throughout the quarter and we expected it to cascade in the fourth quarter as well.
Brian McNamara: Got it. And then has there been any pushback on these significant price increases either on the retailer level or the customers within the stores? And I'm curious your thoughts on -- I mean, lumber has been a pretty volatile commodity this year. There's a lot been written in the quarter, obviously, about it was dropping in price. It was up year-to-date. I'm just curious, like how is the price of lumber and maybe other construction materials either directly or indirectly impacted your business?
Robert Kraft: Yes. I mean, just go back to here. I mean, customers have been balanced and reasonable. They understand this is a tax and we have to run a business. So I won't say they've been easy, but they've also been fair. We have -- we do business with some of the best retailers in the world as you know and I think that's been reasonable. As far as the impact of lumber, I think from my perspective, this is one man's opinion. I think what you see is we're still seeing the smaller projects are still going forward. People do the repair and the maintenance type activities because they have to take care of that good times are bad. Brian, what we are seeing though is -- and I think this is consistent, I'm not going to quote the retailers, but the larger projects is where you're seeing some pushback. So where we would have had some drywall screws or some structural screws go along with the project and where lumber might be impacting that, that is where I would say that there has been less of the demand than we'd like to see. And that's where we believe the interest rates as well as getting things settled down from a tariff perspective will help in '26 and again, why we're excited about the future. So yes, I think the input prices on bigger ticket items is a pressure point in my opinion.
Brian McNamara: Great. And then just if I could squeeze one last one on M&A. Obviously, a big part of your story historically, I'm assuming there's been a pause given tariffs and the like. When do you see that maybe starting to open up a little bit, just given we probably have a little more clarity on tariffs today than we have in acknowledging it changes daily with tweets?
Robert Kraft: Yes. Well, I won't comment on that aspect. But back to the M&A piece of it, Brian, we are seeing -- our team is actually getting more inbound now than we saw last quarter or the quarter before that. So actually, we're starting to see some interesting activity. So I'd say the activity and the interest level is ticking up a bit. We're excited about continuing our strategy, which is to drive tuck-ins whether it's we focus on our core business or what we're doing to grow DIY and specifically also we're interested in the Pro. As you know, it's 25% of our business. We're going to look at deals that make sense in all those 3 areas. So we're excited about what M&A will present for opportunities as we move forward.
Operator: And this concludes the Q&A portion of today's call. I would now like to turn the call back to Mr. Adinolfi for closing remarks.
Jon Adinolfi: Thanks again, everyone, for joining us this morning. We look forward to updating you on our progress soon. Thanks, and have a great day. Take care.
Operator: You may now disconnect.